Operator: Good morning, everyone, and welcome to the Kopin Corporation First Quarter 2024 Earnings Call. Please note that this event is being recorded. At this time, I'd like to turn the conference over to Brian Prenoveau, Investor Relations for Kopin. Please go ahead. 
Brian Prenoveau: Thank you, operator, and good morning, everyone. Before we get started, I'd like to remind everyone that during today's call, taking place on Tuesday, May 14th, 2024, we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the Company's current expectations, projections, beliefs, and estimates, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our products, operating results of our subsidiaries, market conditions, and other factors discussed in the most recent annual report on Form 10-K, and other documents filed with the Securities and Exchange Commission. Although the company believes that the assumptions underlying these statements are reasonable, any of them can be proven inaccurate, and there can be no assurances that the results will be realized. The company undertakes no obligation to update the forward-looking statements made during today's call. In addition, references may be made to certain non-Generally Accepted Accounting Principles or non-GAAP measures, for which you should refer to the appropriate disclaimers and reconciliation in the Company's SEC filings and press releases. Kopin Corporation's Chief Executive Officer, Michael Murray, will begin today's call with an overview of Kopin's progress within the Company's strategy. Following Michael, Kopin's CFO, Richard Sneider, will review the company's first quarter 2024 financial results. I would now like to turn the conference over to Michael Murray. Michael? 
Michael Murray: Thank you, Brian. Good morning to everyone, and welcome to our first quarter 2024 earnings call. I'm going to spend much of the time on this call updating you on the strong progress we've made operationally on our strategic initiatives, which are the most important parts of this call. I'm very proud of the significant progress we continue to make in our transformation, including achieving our sixth consecutive positive book-to-bill quarter. We now have over $55 million in backlog for 2024 and beyond. Our new orders include repeat or follow-on orders from existing customers and programs, and most importantly, very importantly, new orders from new customers. We are actively expanding our revenue and our customer base.  Just to recap, our first quarter order activity for current production programs, we received a $20.5 million order for thermal weapons sights, a $1.4 million order for a special long-range weapon sight, and a $3 million order for training and simulation weapon sights as well. On the new customers and programs fronts, we received a contract from the Navy to develop a high-resolution micro-display, which can operate at very high frame rates to support the development of trusted AI and autonomous capabilities for computational imaging. And we were awarded a contract from BlueHalo LLC for the design, development, and production of advanced simulated binoculars and a monoscope product for use in their advanced stinger training system or AST system. On those secured orders, our pipeline is deeper than it ever has been. In the last 12 months, we've added new business development resources from outside the company and more recently dedicated additional internal resources to develop new business and it's paying off as shown in the new customer orders and significant opportunity pipeline that we believe has high probability of wins. Last week, we demonstrated combat-use head worn -- helmet worn daytime and nighttime readable heads-up displays or HUD concepts during Special Forces or Special Operation Forces Week or SOF Week in Tampa, Florida. Kopin has developed what we call an Integrated Visual Acuity System or IVAS Now solution, which allows warfighters both a night and daytime solution today, that works with their current fielded systems like the current versions of Enhanced Night Vision goggles or ENVG goggles and popular helmet-worn systems. The need for advanced head-mounted display solutions that are easily readable in all ambient light conditions is increasing as the number of digital information sources for the warfighter during combat continues to expand. Warfighters require a solution that can display a wide variety of information in a heads-up viewing configuration, eliminating the loss of situational awareness that comes from viewing information in a head-down mode. Kopin is developing several products that address this growing market by capitalizing on the company's strong technology portfolio and extensive experience in developing dismounted warfighter vision systems. Now in relation to our technology developments in Q1, we announced an important milestone towards establishing our fabless organic light emitting diode or OLED display production with the NATO friendly partner for defense applications specifically. We completed initial life testing on representative samples and have achieved near zero degradation in brightness performance after operating displays at brightness levels exceeding 20,000 candelas per meter squared for several thousand hours. This is a tremendously important advancement as OLED performance degradation over time has hindered use of OLEDs in defense application for many, many years. As far as we can tell, none of our competitors can match this technology, performance, and it's something that our customers are very excited about as it is a market-enabling achievement. We also announced that we demonstrated our NeuralDisplay technology, a highly advanced OLED display that includes embedded sensors that tracks eye movement, position, and gaze, while simultaneously processing the tracking data in Kopin's proprietary integrated AI engine that adjust the displayed information in real-time to optimize the user experience and performance in several use cases. We believe that this technology development system will be a great fit for the next generation of IVAS systems, furthermore, the product is receiving significant interest from consumer spatial computing manufacturers due to its ability to reduce size, weight, and power consumption while still offering great image quality. Lastly, we entered into an agreement with MICLEDI Microdisplays, a fabless semiconductor design and technology company, to provide a more immersive and information rich consumer augmented reality or AR experience in high brightness light conditions specific to our micro-LED technology development. In January, we launched our One Kopin initiative to enhance synergies, expand capabilities, gain efficiencies, decrease costs, and increase accountability across our 3 sites; being Westborough, Massachusetts; Reston, Virginia; and Dalgety Bay, Scotland, which previously operated fairly autonomously. We've made substantial progress against our goals, including sharing engineering resources, initiating purchasing efficiencies, and most recently, we announced the general manager of our Fourth Dimension Display business out of Dalgety Bay, was added to our business development team focused on driving European and Asian opportunities. To further promote additional focus and increase our cash position, we've started the process to value and potentially monetize the ownership shares Kopin has in several of our portfolio companies. As a reminder Kopin owns minority shares in RealWear, Lenovo New Vision, Intoware, HMDmd, [ KoBrite ], and Lightning Silicon. We've also begun to evaluate our IP portfolio to understand what is critical to our business moving forward and what can be or should be monetized. having reviewed the quarterly progress, let me turn to the longer term and our strategic initiatives, which ultimately will be the foundation of our future success. Turning to our first strategic initiative, building the backlog, our first quarter book-to-bill was approximately 2.7 to 1, our sixth consecutive positive book-to-bill quarter and a record level for a single quarter. But we don't expect such high ratios in the future or every quarter. The programs we are working on and the significant opportunities we have in our pipeline hold the promise of larger orders on a more routine basis. Based on just current demand, Kopin could potentially ship triple the volume of weapon sights as 2023 within the calendar year of 2024. Now turning to our second strategic initiative, focused on our fab-lite strategy for OLED and micro-LED displays. As I mentioned, we made significant progress in the first quarter of 2024. As a reminder, Kopin is the only U.S. manufacturer of human centric AR and VR application specific optical solutions and we build 4 different types of micro displays used primarily in to provide situational awareness for warfighters, surgeons, and spatial computing device users. You can find our solutions in weapon sights, armored vehicles, surgeons' head mounted display, pilot helmet visors, and in fielded maintenance and warehouse workers' head worn computers. To support the demanding needs of our markets between consumer, medical, industrial, and defense customers, we've taken significant steps to strengthen our supply chain by qualifying a new deposition partner. As we previously announced, our European OLED deposition partner was able to achieve brightness of more than 20,000 microcandela squared at lower power consumption compared to our previous displays. In addition, the initial displays using our proprietary backplane have been fabricated and are now exiting performance validation testing. Recently, there have been reports that the Apple Vision Pro demand has been slowing like many other AR devices. There are concerns around size, weight, cost, usability, and the neurological challenges associated with AR/VR systems. This is not surprising to Kopin, not at all. Kopin has been working on AR systems for many years, including military pilot helmets, which cost hundreds of thousands of dollars each and have similar challenges. Kopin's initial efforts were on improving the display and then the optics. We are now tackling the neurological challenges and previously announced that we are working on a software-defined AI-enabled backplane, which we call our NeuralDisplay. The NeuralDisplay architecture features embedded sensor pixels within the screen, focused on the user's eyes, providing immediate feedback to the AI software powering the display. Feedback from these pixel sensors empowers the software to quickly adjust the contrast or brightness of the display to accommodate the challenges and changes in the user's vision. During the first quarter, we demonstrated an OLED display that tracks eye movement, position, and gaze while displaying video using Kopin's internally developed software and AI engine. This is a very positive step, our first step in producing what we believe will be the first software-defined AI-enabled bidirectional micro-display. If the NeuralDisplay is successful, system developers will be able to increase their users' comfort by reducing the cantilever effects of a heavy system by eliminating user-facing cameras resting on the nose or the head and in the future adapt the image to the user's eyesight capability. We believe that this new design will also help eliminate many of the other common complaints around systems including the nausea-induced environment that many AR and VR users find themselves in. In the first quarter of 2024, we continued to execute our plans to expand the markets we serve. We made an announcement of a production order for our CR3 product for assisted surgery markets. I just mentioned the heads-up display or HUD concepts within our IVAS Now strategy, and we demonstrated them at the Special Operations Forces in Tampa, Florida, as I spoke of earlier. We believe this technology has a significant and unique opportunity to drive consumer spatial computing opportunities, and we have begun partnerships with market-leading firms who could develop and deliver the volumes required in this market. Moreover, this technology provides Kopin the opportunity to license our internally developed software in the future. We expect to announce more progress on these initiatives throughout 2024. Now turning to another of our strategic initiatives is quality improvement, specifically improving our On-Time In-Full or OTIF rate. In 2023, we moved from a 63% OTIF rate to 84% across the company. Strong OTIF performance is key to customer satisfaction and repeat business. We continue to focus on this, and our most recent results show consistent and continued improvement. There is more to accomplish and we remain focused on reaching and surpassing our goals in this critical area. Complimentary to our OTIF initiative, returning the operation to a cash break-even level as a milestone of our transformation, we believe Q2 will be the last quarter we experience heavy litigation expenses, and going forward, SG&A expense should normalize at a much lower level. Furthermore, we continue to focus on pricing, raising the ROI requirements for internal R&D expenses, and challenging all aspects of SG&A spending. We have done well controlling what we can control in Q1, we came very close to cash flow break-even excluding the legal fees. Lastly, our One Kopin cultural initiative and talent strategy made significant progress this past year and quarter. Due to through the hard work of our Board of Directors, the leadership team, and all of our team members here at Kopin, we were able to retain the best talent within Kopin, attract new talent with the skill sets we require for our growth plans, and to execute the strategy of the company. We celebrated our direction, focus, and strategy this quarter with the announcement of our new brand logo and website. Our team at Kopin continues to focus, improve, win, and grow, and it will be the people of Kopin that execute on these initiatives this year and next. I know several of you have specific questions about our litigation. As we announced on April 23rd, the jury delivered a verdict awarding BlueRadios $5.1 million in damages, as well as recommending $19.7 million in exemplary and disgorgement damages. These damages are recommendations the jury gives to the judge. And the judge has the discretion to increase or decrease these amounts. We anticipate a judgment in late summer of this year. At that point, we will evaluate our options, including an appeal, if necessary. Of course, in parallel with the legal process, we are working proactively to resolve the issue. I will now turn the call over to our CFO, Rich Sneider, to review our results in further detail. Rich? 
Richard Sneider: Thank you, Michael. Moving to our financial results for the first quarter of 2024, total revenues from Q1 2024 were $10 million versus $10.8 million the prior year, a 7% decrease year-over-year. Product revenues for the first quarter ended March 30th, 2024, were $9 million, compared to $7.7 million for the first quarter ended April 1st, 2023. The increase in product revenue was the result of higher defense product revenues, which increased $1.8 million year-over-year. The first quarter of 2024 funded research and development revenues were $900,000, a decrease of $2 million due to the completion of several programs, which moved into production. Cost of product revenues for the first quarter of 2024 were $8.5 million, which was the result of higher provision for excess and obsolete materials in 2024 as opposed to 2023. R&D expense for the first quarter of 2024 were $2.1 million compared to $2.3 million a year ago, essentially flat year-over-year. SG&A expenses were $7.2 million in the first quarter of 2024 compared to $4.6 million in the first quarter of 2023. The increase was primarily due to $2.6 million in legal fees associated with the BlueRadios litigation previously mentioned. With the announced jury decision of the BlueRadios lawsuit awarding approximately $5.1 million in damages, as well as recommending $19.7 million in discouragement and exemplary damages, we have accrued the judgment under the relevant accounting guidance. As mentioned, the Company is reviewing its legal options, including a possible appeal of any judgment that the court ultimately enters. Going to the bottom line, net loss attributable to Kopin for the first quarter of 2024 was $32.5 million or $0.27 per share, compared with a net loss attributable to Kopin of $2.6 million or $0.03 per share for the first quarter of 2023. The amounts discussed above are based on our current estimates, and listeners should review our Form 10-Q for the quarter ended March 30, 2024, for any possible changes, and of course, any additional filing. And with that, I'll turn it over to Michael. 
Michael Murray: As evidenced in our first quarter, our focus remains strengthening our order book, pushing on-time and full rates higher, cost controls, and making the strategic investments in products and people, which in the aggregate will improve cash flow and provide long-term sustainable profitability and growth for the company. We put tremendous focus on working with our customers to move up the value chain and gain more share of their system and spending. Furthermore, we have carefully selected new strategic partners and customers to work with and remain focused on new opportunities and projects which support our strategic plan. To this end, and due to the application-specific strategy, our qualified opportunity pipeline has grown exponentially in the past few quarters due to the recent geopolitical issues and increased sovereign and foreign NATO spending, pushing the demand curve significantly to the right.  We expect several new customers, partners, and project awards and announcements soon, which will not only add to our order book, but will fuel larger returns in the future as these new projects move into full-rate production. Kopin remains focused on invention and innovation, but with more focus on cost controls and return on investment. These new inventions discussed today will help drive our innovations that solve our customers' most difficult technical problems and serve as the bedrock of our business, which will fuel our long-term sustainable growth for our employees, our customers, and our stakeholders. Thank you, everyone, for your time today and for showing interest in Kopin. I'd like to thank our employees, customers, and stakeholders for the continued hard work, support, and dedication. And with that, Operator, I'll turn it over to you and take some questions. 
Operator: [Operator Instructions] And we will take our first question from Matt Sheerin with Stifel. 
Matthew Sheerin: First question, just regarding the gross margin, which was weak in the quarter and, I guess, there were some component obsolescence issues and other things. Could you talk about that? I know, Michael, one thing that you've been pleased with is the margin expansion, particularly the gross margin, and that's been weak now for the last couple of quarters. So how should we expect to think about gross margins as we get through the year? 
Richard Sneider: Matt, I would note sequentially, it's a significant improvement in gross margin. And the comparison is bad because, as we discussed last year in Q1, we utilized a bunch of previously written off materials. So Q1 of last year was, I don't want to say artificially because it was correct, but it did have the benefit of materials previously written off, and that's why it had a 13%. But as you see, we actually had about a 10% sequential improvement. And we continue to expect further improvements based upon the results that we're getting this year from both our customers and our own internal quality numbers. 
Matthew Sheerin: What's the target then for the second half of the year then, because you've been talking about 40% plus gross margin, and obviously we're not even close? 
Richard Sneider: Right. So I think it's how you do the calculation of gross margin. If you take revenue less cost of sales, as opposed to taking product revenue less cost of sales. So it depends on how your computation is. But for the product revenue less cost of sales calculation, we would be still shooting for 15% to 20% in the second half of the year. 
Matthew Sheerin: And then just on revenue, Michael, you talked about the strong book-to-bill, and you talked about a good backlog, and still expecting double-digit growth this year, which would imply about a strong back half. So how should we think about Q2? Should that be flat and then up in the second half or how should we think about the revenue and how that flows through? 
Michael Murray: Sure. So in terms of revenue for the year, Q1 was really all about buying material, bringing in material to ramp in Q2, Q3, Q4. So we're ramping now. We've hit an all-time record for on-time and full, actually. I received a briefing yesterday that we hit an all-time record for quality and throughput out of the factory. So the ramp is going well. We've hired, we've got some more folks that we're bringing in to help us with that ramp, but Q2 is about ramping up in terms of production. And then Q3 and Q4, we should be moving along quite nicely based on our recent updates. So we are back half loaded, just simply because we've been waiting for product, but as we sit here today, we're ramping. 
Operator: And we will take our next question from Glenn Mattson with Ladenburg Thalmann. 
Glenn Mattson: Quick, just a couple of lawsuit questions out of the way quick. Can you give us a sense or give everyone a sense of the timing in terms of what you think the timing would be for when the judge would make his final ruling? And then when, if you decide to appeal, like how long that would take, just to get a sense of like cashflow-wise what we're looking at in terms of when you'd have to pay this? And also, is there some bond you have to put up until -- while you appeal or something like that? And what maybe ballpark percent of what the ruling, final ruling is, would you have to maybe put up? Just that kind of color there would be great. 
Michael Murray: Sure. Our understanding is we should expect a judgment sometime around the end of summer. And at that point in time, we can put in for an appeal. I assume there would be some sort of bond that could be negotiated with the court at that point in time, if we were to appeal. But again, I want to stress that currently there is no judgment until the judge comes back and the court renders their judgment. So that would be at the end of the summer. If we were to appeal, which would be likely, we would enter the appeal at that point. We would have to potentially post a bond, I don't know how much that would be. It would be a negotiation with the court. And then if we were to appeal, average appeals, my understanding, based on talking to our lawyers, an average appeal is 24 to 36 months, if not 48 months, based on the court's backlog. 
Glenn Mattson: And the legal cost with that, is that obviously much lower than a trial? So right, I'm just -- just as an ongoing expense. 
Michael Murray: Tremendously lower. Yeah, Glenn, it's tremendously lower. It's really about the cycle time of the courts. But from a legal cost perspective, it is a fraction of what the legal expenses are that we've been incurred because of the trial. 
Glenn Mattson: Right. And just, maybe it's related, maybe it's not, but you talked about valuing and monetizing the portfolio companies. I guess on your balance sheet, they're listed in kind of like the $4.5 million value range. Is there, I guess, is there any expectation that they'd come in significantly higher than that or anything or is that a priority or just something you're kind of looking at in terms of monetizing that? 
Michael Murray: I think -- great question. So we are looking at ways to raise capital in a non-dilutive way, #1. #2, it's about focus. We have these assets. It takes money, it takes time to work with them. And I think we want to focus the balance sheet, focus the management team, monetize those assets, get the balance sheet clean and focused, keep the management team focused. So that's really the priority. And as I mentioned, we have several investments that we think we can monetize over the course of the next year or so. And then also looking at what IP we have that is important for our future and what IP is not, monetize that as well, and make sure that we're carrying the cost of that IP for the right reasons. So these things have been going on for quite a while, but I think just now we want to focus our attention there and clean up the balance sheet and the ownership stakes that we have in some of these companies. To give you -- yes, a little bit more of a target for you, Glenn. I think, from my perspective, I'm looking at $6 million to $12 million is kind of the range that I'm hoping for here. 
Glenn Mattson: And then just moving on to the actual business, a solid book-to-bill and everything. I think last quarter you talked about the government funding vehicles kind of opening up. If they were to open up that there'd be $10 million to $20-ish million in potential orders out there. Is that what we saw here? Or is this -- is there just more momentum now that maybe some of the funding issues have temporarily eased perhaps? 
Michael Murray: Actually, so everything that we have in the order book is excluded from the funding that we talked about. So this would be additive, and we're actively working with our congressional partners to access some funds that is in the budget that we would like allocated to a program, actually 2 programs that we have here at Kopin. So that work is ongoing with our legislation partners, and it's progressing. So too early to tell if and when we'll receive those money, but we're working on it proactively, and it's a fairly significant investment into the company and technology development if and when we do get it. 
Glenn Mattson: And then last one for me, just on the ENVG goggle comment that you made, that there's -- obviously there's a lot of those out there deployed, and just so is there like any sense of is there a long R&D process to get on to those systems? Or is this something that -- and would there be R&D revenue associated with that or something over time while you -- while it gets -- a plan gets formulated, or is there some quicker pace to expect or anything like that, color would be great? 
Michael Murray: Sure. You'll hear more about this from me shortly, but we have a daytime and a nighttime IVAS Now strategy, as I mentioned earlier. And the nighttime version of that is an adaptation and a module that we would sell alongside the current ENVG goggles that would provide thermal imaging as an additional input to that system. So to your point, I think it's one of the highest volumes, if not the highest volume goggle that the U.S. government acquires, as well as our friends at NATO. So it is an exciting opportunity for us. The nighttime vision goggle market is vast, and we have a partner already selected to work with us in this area. We hope to announce that shortly. We have already received some small business initiatives and funding to develop the technology because our warfighters need it today. We learned this in Israel, specifically in the tunnels there, so we're working very diligently to develop that technology. And it's a very elegant design that can be used today. So we think it's a quick turn to market. I think we'll be in market in production next year with this technology, and the volumes are exciting tens of thousands of units. Furthermore, our daytime HUD, which currently doesn't exist in the market, we're working with a very significant partner in -- I don't think I can say just yet, but once we do, they have a tremendous market share in SOCOM, SEAL Team 6, and Special Forces, and that's an additional item that they would sell alongside their popular helmet-worn systems. So that's our daytime strategy. And so I think there's some small NRE that we'll receive for that, but the really exciting revenue comes from production, which we believe will be 2025, and then certainly in 2026 and beyond. 
Operator: [Operator Instructions] And we will take the next question from Kevin Dede with H.C. Wainwright. 
Kevin Dede: Looking for a little insight on your 2.7 book-to-bill vis-a-vis capacity utilization. Can you give us some sort of color on where you are and, I mean, how much room do you have within your 3 facilities to meet demand that you're expecting? 
Michael Murray: Yeah, great question. So if you recall, Kevin, I took the very unpopular decision to close the [indiscernible] for a couple of days in Q4 of last year, which impacted our revenues. The reason we did that was we needed to move items around in Bay 7 and Bay 8. We'd also did a sprint in Bay 7 at that point in time. And that was really to make the capacity and the opportunity to be able to build this level of volume. So far, so good. The teams are working well. We're hitting new volume levels within the fab, but we're scaling well and we do not see any resource requirement issues from a CapEx perspective for the fab. It's really now about getting the right people in and trained in that time to market for them to be trained and then start to be productive. So we're on plan. We're on target. We're producing well and our quality levels hit low single digits in terms of rejects at incoming inspection at our customer, which we've never actually had before, I don't believe. So we're moving along quite well. 
Richard Sneider: And we have not yet pulled the trigger on a second shift. So that option is available to us. 
Kevin Dede: The On-Time In-Full quote, Mike, you gave us was 84% in March versus 63% in December. Was that -- did I hear that right? 
Michael Murray: No. So that was, 84% was previous year. And we are now in the low single digits, pardon me, we're now in the high 90s. 
Richard Sneider: Kevin, just to clarify. So what Mike was saying is when he came in, it was at 63% last year in January. And he drove it up to 84% by the end of the year. And now we've moved it further. 
Kevin Dede: How much more room do you think you have to go there? I mean, I don't know that a 100% is possible. Just give me sort of what your target is. 
Michael Murray: Well, the target is always 100%. And there is a band though, to your point, Kevin, where you end up having diminished returns, #1. #2, these display systems are very difficult to manufacture without any sort of level of FOD or foreign object debris that gets in the lenses. But what I consider good is a 1% to 3% rate where you've got a fallout of 1% to 3%. I think that's best in class. It's much better than what we see from other competitors in the space and certainly even from our customers perspective, when I hear our customers ask our quality group to visit their quality group in their facilities, I know we're doing a good job. And that's already happened in several occasions here. But I can report my briefing yesterday, the firm created a month where we hit 100% On-Time In-Full on every single project we have last month. And we've never done that before since I've been here. So great progress by the firm so far. 
Kevin Dede: Can you help me understand where you have to go with FWS-I versus ENVG in addressing the night vision and the day vision? I mean, I'm just in look and view of or with regards to the technology you need to develop. 
Michael Murray: It's definitely leveraging knowledge that we have around the marriage between the display and the optics and the form factor that's required in terms of very small form factors, working with current systems and inputs into current systems and working very closely with our customer base. It's an intimacy that we need to have with our customer to work within their system. And that's a trust level that Kopin is creating because of the business development folks that we've been able to bring into the company. So the technology is there, the display capability is there with our OLED capability now that we have it in a NATO friendly location. The opportunities, Kevin, that we're seeing because of that are immense and moving into a NATO friendly country has definitely opened up a lot of opportunities. But the technology right now that we see winning the day is our OLED capability, along with the bespoke optic and between FWS-I, the thermal weapon site for a weapon and the thermal capability for ENVG. It's very similar, but it acts more like an injector versus a viewing angle type of device. 
Kevin Dede: In that discussion, Michael, can you kind of layer on, I mean, if I heard correctly in your prepared remarks, you alluded to the number of inputs that a warfighter has to deal with. And I was wondering how the DOD is asking you to handle that and what sort of timeline you have and whether or not that has to get integrated into FWS-I? 
Michael Murray: Great question. So when we talk with the U.S. Department of Defense, they want simplicity and they want size, weight and power obviously at a decent cost. And the ability to enter into sensor fusion capabilities like NeuralDisplay is what they want to see and hear about more and invest in more importantly. And Kopin is very unique in that capability here in the United States. So what they're asking for is very flexible, software defined technology that can be adapted for the 250 to a million service people that we have to put through a year over the course of several years. So I think it's that level of sophistication, but the ability to make it software defined is really what we're hearing from the customer base. So I think that's where we're focused and where we're going. The capability of the company is very unique for that customer base. And what they're valuing is our ability to do a lot of different things through software, utilizing our capability with micro displays and the optics. So that's what we see kind of winning the day in the future. 
Kevin Dede: Would you mind sort of segregating sort of human user inputs versus battlefield awareness inputs? I think maybe that's where I'm tripped up. 
Richard Sneider: So Kevin, this is Rich, just to need to take a step back. So a soldier at night with his night vision goggles and his FWS-I is getting a tremendous amount of information through his systems, not just thermal imaging, but if you've ever seen our presentation, we overlay on the natural scene over a dozen different types of information. So the soldier's getting all of this information about what's going on around them at night. Soon as the sun comes up, they lose it all. It's gone. Now they're just walking around with a pair of binoculars and an optical sight. And so all of that other information is gone. And so that's what they're trying to do is, the issue, of course, is you're competing against the sun to try to overlay it during the daytime. So what they're trying to do is give the soldier all of that information they get at night during the day. And that's what's really hard because you're dealing with the sun. 
Kevin Dede: And that's why you need the 20,000 nits, right? 
Michael Murray: Correct. And that's our daytime HUD. So it provides you, Kevin, telematics, geospatial awareness, where your buddies are, where the not so friendly folks are, and which way to travel. So that type of technology during the day is critically important, as long as it doesn't add size, weight, and power consumption. So our designs are very lightweight. Our soldiers can carry them in a backpack, use them when they need to. It attaches to a very popular helmet-worn system that Special Forces already uses. And I think that's the big thing, Kevin, if you take anything away from it from the strategy is we have that visual acuity system for daytime and nighttime today for use for what is in field today. That's our IVAS Now strategy, and you'll see some graphics from us on this at our next presentation. But we also have a long-term IVAS Next strategy, which is the NeuralDisplay architecture, which takes that big goggle for daytime and nighttime use and reduces it down to what we think should be a set of Oakleys, as an example. But that level of technology to provide geospatial awareness, trajectory, maybe even shot whistle, where did a shot come from, as an example, those are all types of technologies and information that the warfighter is getting through this type of HUD or heads-up display that we're enabling for daytime and nighttime uses. 
Kevin Dede: So book-to-bill almost doubled sequentially. Can you give us the highlights of the drivers there? And clearly, consumer business fell off to zero. Just maybe offer a little insight on where you think that's going. 
Michael Murray: The new order is for a new configuration. The $20.5 million order is for a new thermal weapon site configuration. We believe that that is due to a new weapon selection by the U.S. government. And if you Google hard enough, you can find out which squad weapons those are. So that's where that order came from. We believe that it's going to be a sustainable new product for us for several years in the future, so great additional revenue on our thermal weapon sight programs. But again, a new weapon selection, that's where that came from. Secondly, from a standpoint of the consumer business, consumer right now, I mentioned the AR/VR marketplace for spatial computing, it's still emerging. I think the systems that are out there today are really software development systems for platforms. I see the largest customers in the world developing their software ecosystems, their software stores, and their applications for that technology. I think the next generations of those technologies are going to be much sleeker, definitely lighter because of the cantilever weight that we're seeing with the Apple Vision Pro as a perfect example, far too heavy on the nose and creating tremendous cantilever weight on the back of your neck. It just can't be used for long enough periods of time. So Kopin can help with that. We have decades of experience in helping with those types of technologies. And we think NeuralDisplay is a great opportunity for these customers to reduce size, weight, and power consumption while still doing things like eye gaze for things like shopping, as an example and marketing feedback as to where the eyes go on a Facebook page, an offerings page. So we see that being one of the key drivers for consumer, which is really exciting technology for us. 
Kevin Dede: So I understand the source vendors for helmets are different in different airframes, but I was wondering if you had any insight on, given the success you've had with the F-35, on where you might be able to go with the, say, the 15EX and some of the new [ Halo ] programs. I know you've spoken to them in the past. I was just wondering if you could give us an update on those. 
Michael Murray: So our customer there is moving forward with our SnO2 project. It's a project that we've had with Elbit for several years. We see that opportunity moving forward. We also see, I believe, increased volumes when it comes to the Chinook helicopter and some of the other helicopter programs that we're engaged in, and that technology is moving forward. So that's mainly on our LCD technology. We are seeing the transition to OLED finally. We believe that we'll have a production order for our OLED capability for both Rotary Wing and Fast Movers this year. So we're expecting that. And on the Fast Mover program, the F-35, the team did complete our last milestone in that program for our customer this quarter. So we are now through all the development phases on the F-35 OLED program. 
Kevin Dede: One last one just on the Abrams, and any insight you might have, some of the feedback coming on the Abrams' performance in Ukraine hasn't been stellar. So I was wondering if any of that has sort of infiltrated the way that you've been asked to update or upgrade their optics. 
Michael Murray: Great question. Yes. We continue our PPAP program. We've hit all of our milestones so far. It's coming to a close shortly here. We do expect to have an RFP for production units in the next quarter, as we articulated last year. And we've been in discussion directly with General Dynamics, who actually visited the facility here several weeks ago. Because we are part of their thermal imaging and AI targeting system, they are moving forward with our platform. That's what they said to us recently. And that platform will help improve lethality of the Abrams tank, reduce size, weight, and power, which is a significant problem as you correctly stated that we're seeing with the Abrams tank program. So to summarize that we increase lethality because of what we do and how we do it and we reduce size weight and power which is a key aspect of the next generation spec for Abrams as well as some of the other general dynamics programs that we're working on currently but too early to tell what those will relate to in terms of revenue. 
Kevin Dede: Thank you very much Mike, and thank you too Rich for the color for the idiots like myself. Appreciate it. 
Operator: It appears that we have no further questions at this time I will now turn the program back over to our presenters for any additional or closing remarks. 
Michael Murray: Thank you very much, operator. I just wanted to say thank you to everyone for participating today. Thank you to the analysts for their great questions and color. We hope this is helpful. And Rich and I will be available over the course of the next week and several weeks to answer any other questions we can on a one-to-one basis. So thank you very much for your time, attention, and investment in Kopin. 
Richard Sneider: And as a reminder, you will be receiving a proxy vote in the next week or so, please vote. Thank you. 
Michael Murray: Thank you. 
Operator: Thank you. This does conclude today's program. Thank you for your participation. You may disconnect at any time.